Operator: Ladies and gentlemen, thank you for standing by. Welcome to the W&T Offshore Second Quarter 2025 Conference Call. [Operator Instructions] This conference call is being recorded, and a replay will be available on the company's website following the call. I would now like to turn the conference over to Al Petrie, Investor Relations coordinator.
Al Petrie:
Investor Relations Coordinator: Thank you, Gaylene. And on behalf of the management team, I would like to welcome all of you to today's conference call to review W&T Offshore's Second Quarter 2025 financial and operational results. Before we begin, I would like to remind you that our comments may include forward-looking statements. It should be noted that a variety of factors could cause W&T's actual results to differ materially from the anticipated results or expectations expressed in these forward-looking statements. Today's call may also contain certain non-GAAP financial measures. Please refer to the earnings release that we issued yesterday for disclosures on forward-looking statements and reconciliations of non-GAAP measures. With that, I'd like to turn the call over to Tracy Krohn, our Chairman and CEO.
Tracy W. Krohn: Thanks, Al. Morning, everyone, and welcome to our second quarter conference call for 2025. With me today are William Williford, our Executive Vice President and Chief Operating Officer; Sameer Parasnis, our Executive Vice President and Chief Financial Officer; and Trey Hartman, our Vice President and Chief Accounting Officer. We're all available to answer questions later during the call. So before we discuss the second quarter results, I would like to say how proud I am with all the people who've helped make W&T a success since we founded the company in 1983. We've been an active operator in the Gulf of America and a staunch advocate for the offshore industry for over 40 years. Yesterday, I was honored to celebrate the 20th anniversary of W&T going public by ringing the closing bell at the New York Stock Exchange. We're conducting today's earnings call from the New York Stock Exchange, where I have several media interviews scheduled that will give us a chance to discuss the company. As you will hear throughout the call today, we're continuing to enhance shareholder value through operational excellence and maximizing production across our impressive portfolio of assets. Across the first half of 2025, we've delivered strong operational and financial results. Quite simply, we're executing on our proven and successful strategy that's committed to profitability, operational execution, returning value to our stockholders and ensuring the safety of our employees and contractors. Our ability to deliver production and EBITDA growth while seamlessly integrating accretive producing property acquisitions has helped W&T growth during our 40-year history. Some of our second quarter highlights include: we increased production by 10% quarter-over-quarter to 33,500 barrels of oil equivalent per day, that's within our guidance range. Also, we form 9 low-cost, low-risk workovers that exceeded expectations and positively impacted production and revenue for the quarter. I'd like to point out that 5 of the workovers were performed in Mobile Bay, helping to increase production at this low decline, long-life asset, which is also our largest natural gas field and the largest natural gas field in the Gulf of America. Total lease operating expenses were $77 million, again, within guidance. We grew adjusted EBITDA by 9% to $35 million compared to the first quarter of 2025. We've also grown our unrestricted cash to over $120 million while lowering our net debt by about $15 million to under $230 million. Our 2025 midyear reserve report generated by Netherland, Sewell and Associates showed net positive revisions of 1.8 million barrels of oil equivalent, which continues to demonstrate the strength of our asset base and our ability to maximize value from our fields. None of this includes any drilling activity. We accomplished all of this while also returning value to our shareholders through our quarterly dividend. We paid 7 quarterly cash dividends since initiating the dividend policy in late 2023 and announced the third quarter 2025 payment that will occur later this month. Additionally, in the first quarter this year, we had several transactions that strengthened and simplified our balance sheet, adding material cash to the bottom line and improving our credit ratings from S&P and Moody's. So in January, we successfully closed a $350 million offering of new second lien notes that increased our interest rate by 100 basis points -- excuse me, decreased our interest rate by 100 basis points. And together with other transactions reduced our total debt by $39 million. We also entered into a new credit agreement for a $50 million revolving credit facility, which matures in July of 2028. That's undrawn and replaced the previous $50 million credit facility provided by Calculus Lending. We also sold a noncore interest at Garden Banks, which included about 200 barrels of oil equivalent per day for $12 million, and we received $58 million in cash for an insurance settlement related to the Mobile Bay 78-1 well. All of these actions have allowed us to enhance liquidity, and improve our financial flexibility. Lastly, in the first half of 2025, we've opportunistically taking advantage of commodity price volatility to increase our hedge position. So we added costless collars for both oil and natural gas, including 2,000 barrels per day of oil for July through December 2025 with a floor price of $63 per barrel and a ceiling price of $77.25 per barrel. For natural gas, we have costless collars for 70 million cubic feet per day from July to December 2025. This has helped lock in a very favorable price range for a portion of our oil and natural gas for the remainder of 2025. So our ability to execute our strategy has delivered very positive results thus far in 2025, including an improved balance sheet, enhanced liquidity, growing production and EBITDA, all of which has positioned us for success in the second half of 2025 and beyond. At year-end 2024, the company had total debt of $393 million and net debt of $284 million. At the end of the second quarter of 2025, our total debt and net debt were significantly reduced to $350 million and $229 million, respectively. Our liquidity at June 30, 2025, increased to $171 million. So CapEx in the second quarter of 2025 was $10 million and asset retirement settlement costs totaled $12 million. For the first half of 2025, our CapEx has totaled $19 million and asset retirement costs were $16 million. We continue to expect our full year capital expenditures to be between $34 million and $42 million. This does not include potential acquisition opportunities. We will remain focused on accretive low-risk acquisitions of producing properties rather than high risk drilling in the current uncertain commodity price environment. These acquisitions must meet our stringent criteria of generating free cash flow, providing a solid base of proved reserves with upside potential and offer the ability for our experienced team to reduce costs. Over the years, we've consistently created significant value on methodically integrated producing property acquisitions. The assets we acquired last year added meaningful reserves at an attractive price, and we are now seeing additional production from two fields that were previously shut in. the West Delta 73 and Main Pass 108/98 fields were placed into production towards the end of March and into early April. The fields began ramping up production over the course of the second quarter of 2025, and we expect production to continue to increase in the second half of this year from these fields. That will be seen in our third quarter guidance as well. There was a temporary shut-in of production in Mobile Bay during the second quarter due to a pipeline issue that was resolved by June 30 that reduced second quarter production by about 1,000 barrels of oil equivalent per day. So yesterday, we provided our detailed guidance for our third quarter 2025 and reiterated our full year guidance. In the third quarter of 2025 with new fields continuing to ramp up, coupled with the strong workover and recompletion program performance we are predicting the midpoint of Q3 2025 production to be around 35,000 barrels of oil equivalent per day. This is an increase of almost 5% compared to the second quarter of 2025. This is quite remarkable considering we currently do not have any drilling operations. Thus, we are spending minimal capital, and our LOE costs are remaining flat. So the third quarter guidance for our cash operating costs, which includes LOE, gathering, transportation and production taxes and cash G&A cost is in line with the second quarter of 2025. With absolute costs remaining flat and production is expected to increase, we believe that on a per BOE basis, we will see decreases. We also believe that there are more opportunities to reduce our operating costs and find synergies to drive costs lower in the long term. We're always working hard to reduce costs without impacting safety or deferring asset integrity work. I'd now like to talk to you about our midyear 2025 reserve report. In our release yesterday, we reported SEC proved reserves of 123 million barrels of oil equivalent, which was slightly lower than the 127 million barrels equivalent at year-end 2024. This reduction was primarily driven by production of 5.8 million barrels of oil equivalent in the first half of 2025 and was partially offset by 1.8 million barrels of net positive revisions. We're pleased with another report that has positive revisions despite drilling no new wells and spending minimal capital in 2025. This highlights the strength of our prolific asset base and our operational capabilities to economically extract reserves of long-life assets. We operate about 94% of our midyear proved reserves, which gives us maximum flexibility in controlling our operations during periods of volatile commodity prices. So approximately 44% of midyear 2025 SEC proved reserves were liquids, with 34% crude oil and 10% NGLs, and we had 56% natural gas. With the continued strengthening of natural gas pricing and the recent European LNG deals, we believe having a strong natural gas position located in close proximity to LNG facilities will position W&T very well in the future. We have long enjoyed a premium over Henry Hub pricing and see that continuing in the future with the increased demand in our operating region. The pretax PV-10 of the midyear 2025 proved reserves using SEC pricing was flat at $1.2 billion compared with year-end 2024. Midyear 2025 proved reserves in PV-10 were based on average SEC 12-month crude oil and natural gas prices of $71.20 per barrel and $2.86 per MMBtu, while year-end 2024 prices were $76.32 per barrel of oil and $2.13 per MMBtu of natural gas. We believe we've built a sustainable group of high-performing Gulf of America assets that will continue to provide meaningful cash flow to our shareholders for many years. So before closing, I'd like to address surety and regulatory updates. In June 2025, we were pleased with the settlement agreement that we reached with two of our largest surety providers, which call for the dismissal of a previously filed lawsuit. This outcome is very positive for W&T overall as we will not acquiesce to unjustified collateral demands made by the applicable surety, and we've locked in our historical premium rates through the end of 2026. We believe the entry into this settlement agreement vindicates our resolve to stand up to our surety providers unjustified demand on independent oil and gas operators, such as W&T. So additionally, at the end of June 2025, U.S. Magistrate Judge, Dena Palermo recommended denying two other surety companies' motions for preliminary injunction, through which they were collectively asked for -- asking for full cash collateralization of over $100 million. We couldn't be more pleased with the court's decision to prevent unnecessary and unjustified collateral demands by surety providers. For the past 40-plus years, W&T has met its plugging and abandonment obligations, paid negotiated premiums and operated responsibly in the Gulf of America. In fact, we've done more plug and abandonment work than anybody in the Gulf of Mexico. We demand fairness and transparency for all oil and natural gas producers in the Gulf of America and we'll continue to pursue the pending litigation against our other surety providers that have decided not to deal fairly with W&T and other independent oil and gas producers. We have done well over $1 billion of decommissioning work in Gulf of America, again, more than any other operator was who is down on its own nickel. And we've done so safely and reliably. These are very positive results for W&T and should alleviate some of the uncertainty that has negatively impacted our stock price despite some positive operational and financial results in 2025. So as we've mentioned during our last call, in early 2025, pursuant to directors from the Trump administration, the Department of Interior indicated that it will not seek supplemental financial assurance in the Gulf of America, except in the case of sole liability properties and certain non-sole liability properties that do not have a financially strong co-owner or predecessor entitled. Since his inauguration, President Trump has issued a number of executive orders aimed at streamlining regulations and reducing the regulatory burden on oil and natural gas companies, increasing federal oil and natural gas leasing, including the Gulf of Mexico and expediting U.S. natural gas -- excuse me, natural resource development. We're very pleased with these actions, and we expect these will positively impact W&T in the offshore energy industry. So in closing, I'd like to again thank our team at W&T for 20 years as an NYSE-listed company. As the largest shareholder, I believe we are well positioned to continue to grow and add value in the second half of 2025. We generated solid EBITDA and raised our cash position to over $120 million. This allows us to continue to evaluate growth opportunities, both organically and inorganically. We have a long track record of successfully integrating assets into our portfolio, and we continue to believe that the Gulf of America is a world-class basin that supports value creation. We will maintain our focus on operational excellence and maximizing the cash flow potential of our asset base. So with that, operator, we can now open the lines for questions.
Operator: [Operator Instructions] Our first question is from Nate Pendleton with Texas Capital.
Nathaniel Pendleton: For my first question, I wanted to start on policy. With the administration looking for ways to support the industry further, can you share your thoughts on what actions the administration may be looking at in order to incentivize production in the Gulf of America?
Tracy W. Krohn: Thanks, Nate. Yes, there's a lot of things that the Department of Interior is looking at. They've already weighed in with regard to lower royalties, and I expect -- and I hope that they will weigh in on further reductions on those royalties. There is the so-called Idle Iron act, which is kind of nonsensical to me and our company. Why do you need to prematurely abandon these wells when none of the rest of the wells on the platform have been abandoned. This was a policy brought on by the Obama administration to create havoc and essentially make it cost more deliberately. And the idea was, of course, to get rid of oil and gas companies in the Gulf of America. We've looked at some other things that we discussed with them. I think it's important to recognize that this administration has taken a very strong position in the fact that, yes, we want to maximize and utilize our abilities to conserve the natural resource in the Gulf of America. President Trump and DOI have made that pledge that they're going to do. We're already seeing some of the regulations getting rolled back. There will hopefully be another decision with regard to surety here, put solidly into writing, and we're looking forward to that. Of course, you're aware that we're suing surety providers. Those are just a few. We're very hopeful that this administration gets back to the idea that oil and gas from this very important basin, by the way, the second largest producing basin and the largest by area in the United States.
Nathaniel Pendleton: Tracy, that's really encouraging. I'm shifting over to your operations. I implied 4Q production guidance seems very strong at the midpoint. In your prepared remarks, you talked about the increase you expected in Q3. Can you share maybe what's driving that further production ramp that you're expecting at the back half of the year?
Tracy W. Krohn: Yes, I'm going to turn that over to our Chief Operating Officer, William Williford. He's got responsibility for that basin.
William J. Williford: Yes, Nate. As Tracy mentioned in the call this morning, that we have a lot of low-cost workovers that we're continually doing in the third quarter as well as a couple of recompletions to add to that production. So we also plan on ramping up one of the Cox fields we acquired last year as well to see significant production through the last part of the year.
Operator: [Operator Instructions] The next question is from Jeff Robertson with Water Tower Research.
Jeffrey Woolf Robertson: Tracy, does resolution of some of the surety and bonding issues for W&T have an impact on how you approach acquisitions? And then secondly, do they have an impact on anywhere on the balance sheet with respect to liquidity?
Tracy W. Krohn: Absolutely. Jeff, I mean, the sureties were in collusion with one another to artificially suppress the company by virtue of demanding full collateral. It's kind of like your car insurance. If you have a car, your agent calls you up and says, gee, Jeff, you have a $50,000 insurance policy on your car. Would you please send me $15,000. In fact, I demand that you send me $50,000 so we can cash collateralize your account. And by the way, I'm going to increase your premiums as a result. That was the alternative that was given to us, except it was a lot better -- a lot bigger nominal dollars. For us, it was around $250 million of collateral demands. And we had to sign this indemnity agreement with these companies. They all read virtually identically that you had to provide cash demand within a very, very short period of time, maybe 10 days to 2 weeks. And that if you didn't do so, that you were in violation of their policy. Well, several of them got together and they all called it at about the same time for $250 million, which, by the way, just happened to be the market cap of the company at the time. I thought that, that was pretty unfair. Obviously, they're all doing it at the same time. It seemed collusional to me, so we sued them. And as a result, it threw the surety market into quite a bit of disarray. The idea -- the very idea that you need surety is kind of for postures to us. The government, in spite of all the bankruptcies that have taken place in the Gulf of Mexico, the government has never ever called a bond, even though they demand it. They demand that surety, but they've never called it. Well, the reason that they've never called it is because the lease form itself calls for joint and several liability. That means that anybody who has ever on the -- that ever held a record title interest is jointly and severally liable up to 100% of the obligations. So the government never had that situation. They would just go back to the predecessor entitled and demand that they take care of those obligations. We've had to do that ourselves. Others have had to do that. It's always been the case. That is what the lease form says. So the government's idea that, we need more surety is obviously preposterous because they've never called on single damn surety -- demand, not once. So it's got to be a force. It was put in by the Obama administration, further exasperated by Biden administration, it was wholly designed to put oil and gas companies out of business.
Jeffrey Woolf Robertson: Tracy, do you think that resolving those issues will have an impact on M&A activity in the Gulf?
Tracy W. Krohn: Oh, you bet. Yes. People will have to figure out a different way to do that assurance for other companies. It will be part of the sales price. People aren't going -- companies aren't going to stop selling properties. They use those proceeds to put into different projects that will, in fact, create more value for them. We will take those properties or the ones that we get, and make them more valuable because we're lightening focus on that. So yes, the surety part of it will definitely undergo a great deal of change. But I think it's for the better. The obligation -- the joint and several obligations are never going to go away. Even though there's been a lot of talk about that, that needs to be the case. The reality is the government has no obligation to do that, and it's highly unlikely that they would ever change that. Why should that? There's no reason to change it. But it will have an effect on companies like W&T and others, and we'll just have to figure out different ways to do things.
Jeffrey Woolf Robertson: A question on your reserves of the 1.8 million BOE of positive revisions. Can you provide some color as to which properties contributed there? And was any of that related to performance on the Cox acquisitions versus how those properties had originally been booked?
Tracy W. Krohn: Yes. Go ahead, Will.
William J. Williford: Yes. So thanks, Tracy. Yes, it was some of the additional increase in the reserves was based on better performance of some of the Cox assets as well as some of our own assets. We did some optimization projects to further increase and increase the life of our Mobile Bay asset as well. So that added a significant value as far as from a reserve standpoint.
Tracy W. Krohn: Yes. Jeff, I'll add to that a little bit. I mean we're still working some of these properties and finding different things that we can do, not only with the facilities themselves, young Mr. Cox left them in terrible shape when we acquired them, they weren't doing the maintenance, they weren't maintaining properties in what we would have considered to be a safe manner. So we've had to spend a bit more money to bring them up to our standards. And I think that's certainly affected some of the cash flow near term. But long term, I have a lot of high expectations of these properties, and we're getting there. Production at West Delta 73 and Main Pass 108 are all coming up as we speak.
Operator: As there are no more further questions, this concludes the question-and-answer session. I'd like to turn the conference back over to Tracy Krohn, Chairman and CEO, for any closing remarks.
Tracy W. Krohn: Thanks, operator. Again, we celebrated 20 years as an NYSE-listed company yesterday. I'm expecting another 20 years. I would certainly like to be around for that. So with that, just all of our shareholders watch what happens next. It's going to be fun, it's going to be exciting, and it's going to be profitable. Thanks so much.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.